Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Sprott Inc.'s 2013 First Quarter Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. (Operator Instructions) As a reminder, this conference call is being recorded today, Wednesday, May 8, 2013. I would now like to turn the call over to Peter Grosskopf, CEO of Sprott Inc. You may begin your conference.
Peter Grosskopf: Thank you operator and good morning everyone and thanks for joining us today. With me is Steve Rostowsky, our CFO. Our Q1 results were released this morning and are available on our website where you can also find the financial statements and MD&A. During the first quarter, we continued to be impacted by the same general trends that we saw in 2012 as global equity markets remained strong while precious metals and their related equities continued to underperform. In early April, these trends extended themselves more dramatically, although since that time, things have improved somewhat, gold and silver prices have reached is a portion of their losses driven largely by a large increase in physical demand. While this volatility will further pressure our results in the short-term, we continue to believe the positive fundamentals for precious metals remain unchanged and believe investors will eventually be rewarded through this positioning. As is noted on slide four, our AUM decreased to $9.1 billion during the quarter from $9.9 billion at the end of last year. This decline can be broken down to a $500 million decrease in the market value of our portfolios and $270 million in net redemptions. We continue to broaden our product line-up during the quarter with the launch of new fixed term LP through affordable resource investors. We also raised an additional $40 million by reopening the Sprott Private Credit Trust in response to strong investor demand for this private lending strategy. Our enhanced funds which are managed by John Wilson are performing well and we are experiencing inflows into the Sprott Enhanced Equity Fund. In March, we completed a $25 million private placement with a US institutional investor and used the proceeds to seed our new Macro Managers Fund. This is our first alternative strategy targeted specifically towards institutional investors and it will draw on the combined expertise of our entire investment team. As I’ll talk about later in the call, we are seeing increased opportunities to co-invest the alongside institutional investors particularly in the international area. During the quarter we signed a JV agreement to launch a global mining fund with Zijin Mining Group, one of China’s largest miners. I’ll now turn it over to Steve to walk through our results in more detail.
Steven Rostowsky: Thanks, Peter. I’ll start with a look at our Assets Under Management. As Peter mentioned, our AUM was $9.1 billion at March 31 this year, down from $9.6 billion at the end of Q1 2012 and down from $9.9 billion at the end of last year. Net redemptions for the quarter were $274 million, compared with net sales of $540 million in the corresponding quarter last year. Net sales during the first quarter of last year were largely due to follow-on offerings of the physical silver and gold price. The market value of our portfolio depreciated by $547 million, that‘s due largely to weaker performance from some of our larger equity mutual funds and alternative investment strategy funds. The next slide shows our AUM on a monthly basis. As you can see our AUM declined throughout the quarter due largely to the performance of precious metals and their related equity as well as outflows from some of our funds that I’ll describe in more detail on the next slide. Looking at AUM and AUA changes by product type, some highlights. Our physical bullion business is now the largest contributor to our total AUM. At the end of Q1, these products represented $4.8 billion in AUM, down from $4.9 billion at the end of last year. Our specialty yield business now represents approximately $800 million in AUM across the various strategies. The RCIC fixed term LP after raising a new approximately $35 million partnership this quarter have grown to $445 million at the end of March 2013. Redemptions include over a $100 million related to Flatiron managed strategies for which we terminated Flatiron management early in the quarter as well as an annual redemption from the strategic fixed income fund, a closed ended fund of approximately $56 million. If we back out those redemptions, total net redemptions were $110 million. Our base net sales came from the Sprott Enhanced Equity Fund which is now over $100 million in assets and RCIC as I mentioned raised nearly $35 million for a new ten year long-term limited partnership. Our AUA for 2012 were $3.3 billion with approximately $2 billion in Sprott Private Wealth or Sprott USA accounts for the remaining $1.3 billion. Moving on to slide eight which gives you a breakdown of our revenue for the quarter. Total revenue decreased by $37.9% to $27.6 million from $44.4 million in the first three months of 2012, management fees decreased by 21.3% to $26 million from $33 million in Q1 last year. Together Global Resource Investments and Sprott Private Wealth generated $1.9 million in commission revenue during the first quarter down from $5.7 million last year. During the three months ended March 31, 2012, Global Resource Investments and SPW earned lower commissions from the sale and purchase of stocks by the time, particularly private placements and in the case of SPW from the sales of Sprott sponsored funds to SPW clients. Losses from proprietary investments was $3 million during the first quarter of this year compared with gains of $4.2 million during the same period last year. Looking at our summary and financial information. Total expenses for the quarter were $23.7 million, up slightly from the first quarter of last year, but as always, there are some pluses and minuses. Compensation and benefits declined from $11.1 million to $9.8 million. Base compensation increased slightly due to increased headcount, particularly relating to trust scanner and while bonus pool accruals fell as operating income declined. Trader fees declined by nearly 39% reflective of decreases in mutual fund and alternative strategy funds on which trader fees are paid. G&A including donations was largely unchanged. Decreases in donations, trading cost and marketing offset increases in legal fees, rent and sub-advisor fees. Net income was $2.1 million or $0.01 per share compared with net income of $16.9 million or $0.10 per share in the first quarter of last year. EBITDA which excludes the impact of income taxes and certain non-cash expenses decreased by about 35% to $10.4 million from $16.2 million in the three months ended March 31, 2012. In the past, we reported two EBITDA numbers EBITDA and base EBITDA. From this quarter, we are reporting only one EBITDA measure. And the next slide, slide ten reconciles net income to EBITDA. I believe that all the items in the reconciliation are self-explanatory and non-cash stock-based compensation is the only item to mention, whereby we distinguish between non-cash and cash-based stock compensation, cash stock-based compensation is where we provide a part of our payments to employees where we pay in stock. We regard debt as cash stock-based compensation. However, where there is a compensation charge relating to for example acquisitions, or to earn out related to acquisitions that is non-cash stock-based compensation and that is the distinction in that line item. With that I’ll pass it back to Peter for closing remarks.
Peter Grosskopf: Thanks, Steve. As we’ve discussed on prior calls, our brand as well as our expertise in the resource sector is well-known outside of Canada, increasingly we are being approached by opportunities – with opportunities to manage capital for international clients and in that regard we are pleased about our JV agreement with Zijin and think that the recent declines in the mining sector will offer great opportunities to the common investor that what we believe will be rock bottom valuations. So this international market is an area that we believe offers strong growth potential and we are currently in discussions regarding several other initiatives and we’ll update shareholders when appropriate. In addition, one of our key priorities is building out our institutional business. We’ve taken a number of steps towards offering products with volatility profiles that are more attractive to the institutional investors and take advantage of other areas of the firm that we’ve been building including enhanced equity and fixed income. We believe that the launch and seeding of our new macro managers fund will provide us with the platform that we can build on, once our team is able to establish a strong record. Along with these two initiatives, we believe that going forward, we intend to become more active in managing our balance sheet to deploy capital and co-investment opportunities and we’ll have a very professional framework to evaluate those opportunities. In the US under Rick Rule’s leadership, we are focused on an initiative to expand our retail client base and we can see this starting to take hold. We have increased our outreach to potential clients through a new investment newsletter. We have over 20,000 subscribers and we are targeting a much larger number of subscribers and annual conversion rates which we believe fuel the growth of that retail business. We are – I guess reiterating that we are focused on prudently managing our expenses in light of recent declines in our margins and profitability. Our business model does ensure that compensation is aligned with our results, however we are monitoring our additional expenses closely and we’ll take further steps to mitigate them in order to improve shareholder returns going forward. And then finally, the asset management business and in particular the mutual funds industry is challenging for small independent operators and we continue to feel that our platform is ideally suited to consider acquisitions in the sector. For us, these opportunities will be driven by the ability to add complementary strategies and well run strategies to the firm and also for those which we believe can drive size and scale efficiencies. So with that, we’ll close the formal portion of the call and turn it back to the operator for questions. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Scott Chan – Canaccord Genuity. Your line is open.
Scott Chan – Canaccord Genuity: Good morning guys. The decline in gold bullion and silver bullion year-to-date limits the demand for follow-on offerings on those specific closed-end products?
Peter Grosskopf: Scott, it’s not so much the decline in the prices. In fact, we see huge physical demand out there and demand for physical products. The constraining factor for those particular funds is the premium at which the fund trades to NAV, because you have to issue above NAV after all expenses. So, there has to be enough margins and enough premiums to issue above NAV to enable us to do follow-on offerings. Right now those margins are very narrow.
Steven Rostowsky: But Scott, I think, realistically, money flows into this sector determine the demand for those products and when money flows our net positive into the sector, we expect to see continued growth and until then we expect to see a continued holding pattern.
Scott Chan – Canaccord Genuity: Okay. Just on the trader fee front, just with kind of defining assets on the mutual fund side, Steve, what percentage of your gross sales are front-end versus low-load. It has changed a lot since you launched the low-load in terms of proportion?
Steven Rostowsky: The low-load tale tend to be relatively small part of our total sales and relatively steady and we are not seeing that much of a switch and a fair amount is in the funds of selling – particularly diversified yields, and enhanced equity. So no material swing in that side. On the sales side we are fairly steady on the flip side there is a fair amount of redemption activity but mainly related to the older funds.
Scott Chan – Canaccord Genuity: And I know you don’t publish gross sales, but can you just comment on that, I guess, year-to-date, versus year-to-date last year? Has there been a decline in gross sales or has the new products which on the income – products help offset the decline in other products?
Steven Rostowsky: Yes, gross sales in the first quarter were actually very – were actually surprisingly strong, but concentrated in a number of funds including as Peter mentioned the private equity – private credit funds, which was only opened up for a period and then closed again for capacity reasons. But overall, the sales are actually pretty good on a gross basis in the first quarter.
Scott Chan – Canaccord Genuity: And just based on the price declines Q2-to-date, has the redemption activity compared to Q1 has it picked up or are you seeing investors looking at the decline and maybe look at more opportunistic since the funds are probably at very low levels right now or extended levels?
Peter Grosskopf: Scott, it’s a little bit hard to tell particularly on the alternative, the hedge funds and offshore fund side, because those are monthly redemptions with a notice period. So we were seeing a slowdown in the rate of redemptions. But, as you mentioned with March and then with April’s performance, it’s possible that some investors will decide that even though the values are so low that they just want to have to get out. So we are waiting to see what happens. It’s a little bit difficult to predict.
Steven Rostowsky: Yes, Scott on that question, also we are hopeful that there are some mitigating factors which are unique to our circumstance which is that, we have a high proportion of historical plans that are used to volatility. Clients are very spread out. We would hope that they are feeling like we are that things are kind of bombed out now and it’s the worst possible time to redeem. I would say the riskiest smallest cap investments are now insignificant components of our funds. So, we hope that they realize that the damage has been done. There is also a very high percentage of pro capital invested in the fund. So we do have significant inside ownership. And then lastly, we have mostly retail clients in our institutional business is really just starting to build. So we don’t have pressure from institutional redemptions going forward.
Scott Chan – Canaccord Genuity: Okay, thanks a lot guys.
Operator: (Operator Instructions) Your next question comes from the line of Geoff Kwan with RBC Capital Markets. Your line is open.
Geoff Kwan – RBC Capital Markets: I just had a follow-on question to Scott. In terms of the offshore funds, I think you are talking a little bit on the redemption side, but how about on the gross sales side? Is it’s – just trying to get a sense in terms of the demand for the products that you have in that part of your business?
Steven Rostowsky: I think that our offshore – the sales environment is very challenging, again, because of the four months end, because for those funds that tends to be a gatekeeper, tends to be sort of through fund-to-fund or there is somebody who is recommending, putting them on a platform or adding to the platform. So that’s a little bit more difficult than onshore whereas Peter mentioned it’s very, very heavily retail type investors. So the sales offshore is challenging and that’s a very important reason for us seeing and launching the macro managers fund to develop a track record for a new product offshore that hopefully will be able to attract significant assets over time.
Geoff Kwan – RBC Capital Markets: Okay, and then a second question I had was for Peter, maybe just talk about what your appetite for M&A is these days?
Peter Grosskopf: Well, the opportunities on the smaller side of the market have gotten better, because the economics of the mutual fund business I think have just gotten tougher for many independents. We are going to be very careful in terms of what we add and the type of diligence that we do when we are adding it. But there are – there is a fairly long list of potential transactions right now. So I would say, we have an appetite. We know we have an underutilized platform. And if we can see a strategy that makes sense for our client base, particularly in terms of a diversification strategy, we will look to review it very seriously.
Geoff Kwan – RBC Capital Markets: Okay, thank you.
Operator: And there are no further questions over the phone line.
Peter Grosskopf: Okay, well. Thanks everyone for your time today and if there is any further questions, you can always call Steve or myself directly. Have a good day.
Operator: This concludes today’s conference call. You may now disconnect.